Operator: Excuse me, everyone. We now have Sean Reilly and Keith Istre in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company's presentation, we will open the floor for questions. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals and plans, including with respect to the level of potential acquisition activity, and the amount of timing of any distributions to stockholders. All forward-looking statements involve risks, uncertainties, and contingencies, many of which are beyond Lamar's control and may cause actual results to differ materially from anticipated results. Forward-looking statements give Lamar's current expectations and projections relating to its financial condition, results of operations, strategic plans, objectives and future performance. As such, they are subject to material risks and uncertainties, including economic conditions and their effect on the markets in which Lamar operates and the broader demand of advertising; levels of expenditures on advertising in general, and outdoor advertising in particular; and risks and uncertainties relating to Lamar's significant indebtedness. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's most recent Annual Report on Form 10-K, as updated or supplemented by the quarterly reports on Form 10-Q. Lamar refers you to those documents. Lamar's third quarter 2015 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on Form 8-K this morning and is available on Lamar's Web site, www.lamar.com. Information required by Regulation G related to annual financial guidance was included in the Form 8-K that Lamar furnished to SEC on February 25, 2015, and it's also available on Lamar's Web site. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, please begin.
Sean Reilly: Thank you, Katie, and good morning, everyone welcome to Lamar's Q3 2015 earnings call. We got a number of encouraging trends to talk about this morning. So let me start with our top line, we are seeing our revenue fell -- accelerate going into the fall month. And we now expect our pro forma Q4 revenue to be up to the 3% and as reported to be up 5% to 6%. Number two, our digital same board performance is also improving as we move into the fall month. Sequentially, each month from July on improved and in October we were up 2.6% on our same board performance for our digital unit. That's a very encouraging time. And number three, consequently we announced the AFFO per share for the full year in a range of $4.55 to $4.60. Keith will now walk us through the numbers. Keith?
Keith Istre: Okay. To recap Q3 pro forma revenues up 1.8% which is inline with our guidance with low-single digits on the last call. Pro forma consolidated expenses increased 1.2%, corporate expenses declined slightly due to the reduction of some of our reconversion expenses from last year. On the direct and G&A operating side, we had several categories that posted declines as well including a [lineage] [ph] in truck fuel sales commission and legal fees. As reported revenue was up 4.7% and that's partially due to the acquisition activity that we engaged in -- throughout the year and in the fall. To give some color on the nine month numbers, now that we're getting close to finishing up the year, pro forma revenue through 930 is up 3.2%, our pro forma consolidated expenses are up 1.6% slightly below inflation and accordingly pro forma EBITDA is up 5.3%. Just as a reminder as far as our free cash flow is concerned for the nine months ended September it increased 15% to $273 million. As NAREIT after interest all CapEx, maintenance and growth our QRS taxes and our REIT dividends the company will generate approximately $130 million in net free cash flow for 2015. With that Sean back to you.
Sean Reilly: Thanks Keith. Just a couple of numbers, behind the numbers, on CapEx, we still expect maintenance CapEx to come full year between $50 million and $55 million, in terms of numbers of digital units at the end of Q3, we had 2,246 in the air that included a number of acquisition units. Again to Q3, as I mentioned sequentially we went through the third quarter our same board digital performance improved and now we're down for Q3, 2.6% but each month got better and our October same board performance as I mentioned was up 2.6%. So for next year, we expect to deploy about a 150 new digitals after deal in the field, our folks out there feel like there are sufficient demand are going for about 150 new ones. Revenue mix, national came on strong, national was up 3.1% for Q3 and local was up 1%. Categories of business, real strength at the top, restaurants were up 4%, service was up 12%, hospitals and healthcare was up 6% and we had a nice top from telecom, we had some nice high in the third quarter consequently telecom is at 23% in Q3. And then finally, let me give a quick update on our automated buying initiative, we now executed about a dozen live campaigns through our automated buying platform not huge dollar volume, but the encouraging sign is that they are incremental new dollars from that digital tie and so we're encouraged by what we're seeing and including some very large advertisers fits us ourselves into that platform and they seem to like what they're experiencing. So with that Katie, open it up for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question will come from Marci Ryvicker from Wells Fargo.
Marci Ryvicker: Thanks. I have a couple. The first, what is July being the acceleration from the third quarter to the fourth quarter and if you could also comment on local and national, looks like a local is after the national and that's kind of a different trend than what we have seen. And then related is the reason your AFFO guidance all revenue or is there something also going on with expenses or financing or anything else?
Sean Reilly: Thanks Marci. So taking the last one first, we are seeing some good top line acceleration so that's very helpful on that AFFO number. And I think we can now see that expenses are coming in slightly better than anticipated as well. So that -- they are the main two drivers. Maintenance CapEx is going to come in roughly where we guided in that $50 million to $55 million range. And then, the final components being tax leakage, it's going to come in at around that dime ranges -- about roughly $0.10 a share. So when you add all that up, it's encouraging. And we're finishing the year stronger than we thought than we were sitting in August.
Marci Ryvicker: Got it.
Sean Reilly: All the categories are strong. So I don't think I should point to one thing, national revenue stronger in the third as we spear into the fourth, it looks like they are going to be about the same relative strength, would be our anticipation. So we're -- we think local is going to get a little stronger as we move towards Christmas.
Marci Ryvicker: And then one more clarification, did you say -- did you say 115 digital boards or 150?
Sean Reilly: Five zero, 150.
Marci Ryvicker: Fine. 150, great. Okay, that's it for me. Thank you.
Operator: Thank you. Our next question comes from Ben Swinburne from Morgan Stanley.
Ben Swinburne: Thanks. Good morning. Sean, I know, you are trying to keep us from getting too excited about the automated platform, but it does sound like you are having some early success. Can you talk about the next steps for you -- from Lamar and the industry to sort of get that from very small to something larger and it seem like it's been a dozen wins and still dozen seems a pretty good number, so love some more color there? And then just quickly on expenses, are we done with the recost comp in other words, I think you have been benefiting, or it's incorporate for comp and REIT expenses last year, I could be wrong but are we done with that and what does that mean, first, sort of corporate cost and what was indexed?
Sean Reilly: I will let Keith take that one.
Keith Istre: Yes. We had a lot of expenses in the last year's third and fourth quarter because we were putting all the legal structure in place and putting a new charter, we had a shareholder vote to approve the transition. So there was a lot of legal and accounting fees that hit the back half of last year, those are done. So yes, we will be benefiting in that, it was part of the benefit that we received in Q3.
Sean Reilly: So automated buying in next steps to put it in a little bit of perspective, there are some large advertisers as I mentioned had get their toe into our automated buying platform. Our slab partner today is [indiscernible]. And I think both on our end and on the customers end, we are viewing these buys as -- just sort of still in the beta phase. But they are actual contracts and dollars are changing hands. So that's a good sign. The next step for us is to broaden the platform and engage with other automated vendors and we have begun that process. They are a couple of others that bring different capabilities to the table and can execute buys for our customers that more -- with certain customers want in terms of measurability and real-time accountability for the buyers. So that's the next step. We probably sometime in the next 60 days, 90 days will be announcing a couple of other partners on the automated platform side.
Ben Swinburne: And just to follow-up, is your outlook for digital close on the investment side, you mentioned 150 board, is that tied to this in other words -- I would imagine the more scale you have the better for the smart advertisers?
Sean Reilly: Yes. It's not specifically tied to automated execution. It's more tied to demand with our local general managers are seeing out there. As I said many times we're a bottom up organization, and if our folks in the field see sufficient demand and lead they can sell additional digital units then we will put them out there.
Ben Swinburne: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Alexia Quadrani from JPMorgan.
Alexia Quadrani: Hi, thank you. Just a follow-up on your comment about the strength in the verticals, I think you said telecom was really very, very strong in the quarter. Was that sort of a one time campaign or is there any reason to think of that can't continue going forward? And then on auto, since you said all categories are signage, the dealership trend is probably strong or even national auto, we've seen such strong auto sales, if you're seeing a pick up in that category and that trend continue?
Sean Reilly: Sure, no I will -- on telecom, I really wouldn't expect 23% up, I think that was anomaly a little bit of a loss small numbers. They're only 3% of our book. And we did have a major buy particularly in the Northeast that drove that number. But it's an encouraging sign to us, these are sealed with many questions on calls and at conferences as to whether there is a secular trend going on in telecoms use of outdoor. And this should be encouraging to suggest that like any other customers they're going to come in and out at the end of the day. They view us as useful in their marketing campaign. Now, automotive was 6% of our book and in Q3 was up 2%.
Alexia Quadrani: Okay. And then just a follow-up on -- with the political environment 2016, I can see any benefit may be more from this [indiscernible] sort of kicking out co-advertise at a local TV coming into your business or how should we think about any political benefit next year, if there is any?
Sean Reilly: Sure. We do anticipate a kick from political in Q3 and Q4 of next year. Last year 2014, it was about $2 million a quarter and it resulted in about 25% increase in our pro forma top line. So we didn't have that this year. We should have it next year and the phenomenon as you mentioned, we get direct political advertising number one, and that shows up as a category. But number two, typically we also get a little boost from other categories who just want to buy into all of that clutter on other media. So we should look forward to a little bump in 2016.
Alexia Quadrani: Thank you.
Operator: Thank you. Our next question comes from [indiscernible] from Evercore.
Unidentified Analyst: Hi, thank you. So two questions, first is that you mentioned same board digital performance was up sequentially but declined year-over-year, could you elaborate a little more on that on the decline side. And second question is, can you provide us the organic revenue guidance for Q4 please? Thank you.
Sean Reilly: Sure. So yes, what we're expecting organic for Q4 as I mentioned is up 2% to 3% and right now pacing trending towards the upper end of that. And on same board digital, as I mentioned for Q3 we were down 2.6% but actually break it out monthly, each month got better from July on and in October, the same board digital performance was up 2.6% which again is very encouraging, it gives us confidence going into next year, next year we can accretively pull out 150 units.
Unidentified Analyst: I see. Just to follow-up, so the year-over-year decline is that an inventory issue or is it customers leaving or could you elaborate the reason of that?
Sean Reilly: Yes. So in the summer months, July, August, September, we experienced a little softness on the digital front. Now, keep in mind, this is not a whole digital platform. The whole digital platform is up high-single digit because we have added capacity there in the year. This is same-board performance and I'm encouraged that it's turned positive.
Unidentified Analyst: Thanks.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn the call back over to Mr. Reilly for closing remarks.
Sean Reilly: Well, great. And thank you, Katie and thanks, everyone for listening. We will be at the Wells Fargo conference next Tuesday presenting. And then we will talk again in 2016.
Operator: Thank you, ladies and gentlemen, this concludes today's conference. You may now disconnect.